Henrik Andersen: Good morning, and welcome to our Release and Presentation of our Vestas Q2 Results for 2021. Warm welcome to everyone and let's go to the key highlights of the quarter immediately. So first of all, we had a strong order intake and we also released a first preferred supplier agreement on our 15-megawatt offshore platform. That ended in a total order intake of 5.3 gigawatts with both onshore and offshore contributing to that number. Revenue was €3.5 billion, impacted by lower offshore activity and also to some extent the continued supply chain constraints which we have seen in Q2. EBIT margin of 2.9%, profitability impacted by the higher fixed cost base from the offshore business and therefore also the integration and also cost inflation into it. We had a solid performance again from service revenue growth of 23%, compared to Q2 2020 and an EBIT margin of 28.6%. And on the ESG side, we had another important step towards the zero waste turbine, where we also entered a CTEC project, which is all with the purpose of trying to find 100% recyclability of the blades of our turbines. And then last, but we will also discuss more of course, the outlook for the year, which we have revised and adjusted in this quarter to reflect what we will talk much more about in the supply chain constraint and also from the cost inflation. Starting and immediately moving to the global business environment. I think it goes without saying as we also say here the longevity of the pandemic is still causing rebel effects and entail some challenges. And I will try to talk of some of the direct things here but also have thoughts with a lot of either colleagues or citizens that are affected right now by the fourth wave because it's a reality in a number of countries. I think for the first of all it's very positive for us that energy and wind power remain a critical infrastructure in all the countries we are operating in. That is a continued support to the business continuity for Vestas and it also is a strong commitment from the countries we operate in. We've also seen here that some of the logistical challenges and supply chain bottlenecks have probably been amplified by the COVID-19 restrictions in some of our strategic markets. I will say not a lot of news but we are just still being impacted and but of course also here able to mitigate because we learn our way around them. We have seen a cost inflation further accelerated. You can especially say in not only the quarter here but also probably for the year we have seen transportation. We have seen a number of raw materials and also components being cost inflated in this part. We will talk more about that but also here how we mitigate. We also see a reduced mobility, especially for the service technicians and the construction workers. And I think here we right now have still either the same or a higher number of colleagues being in guaranteeing or wait-and-hold positions to enter or exit some of the sites or even countries we work in. May I also just take this opportunity here to extend a big thank you and a gratitude, especially to our 29,081 employees globally. They are working incredibly hard and committed to mitigate a lot of those challenges and have found ways around, I will call India, in some extent in some sites nearly mission impossible, which they are dealing with and mitigating. It's an incredible thank you and also incredible examples and evidence of that it does work in a global company like ours. Also here, thanks to the customers and partners for mitigating these issues and continuing putting the best effort in to find solution. Let's go then to Power Solutions. And if we look at Power Solutions in the quarter, we had a strong total order intake of 5.3 gigawatt. It's supported from both the onshore and offshore, of course therefore utilizing Vestas' global reach. We saw an onshore ASP that remains underlying, stable and supportive for the industry and not least also for Vestas continued value creation. Our first offshore order intake after the integration of the offshore business were seen. And we also had the first preferred supplier agreement on the new 15-megawatt platform with EnBW in Germany. We -- and so that led to an all-time high order backlog at €21.2 billion across the onshore and offshore backlog. And of course, here it goes without saying a very, very strong focus on project execution and profitability. When we then look at the Q2, I would just highlight here, it is in onshore 4.5 gigawatt versus two gigawatt in Q1. This is to take a note of because in Q1, we already at that point in time talked about that there was some that was on wait and hold in the discussions because there were a number of variables coming from the supply chain and the cost increases. You can see some of those have found their solutions and also the agreements because we saw that that's the increase in the order intake to now 4.5 gigawatt in Q2. Especially in EMEA, we have seen nearly 2.8 gigawatt of order intake. And I will again highlight within EMEA that Germany for the first time now in many years have just executed the second auction round this year. First auction round was on 1.5 gigawatt, second auction round and 1.5 gigawatt, but we now also see permitting flowing to it. So the uptake was 46% in the first auction and now 74% in the second auction all leading to that one-off probably the leading -- one of the leading markets in EMEA is now restarting and catching up momentum. When we just say the ASP, you will see down here ASP overall was 0.84. And as I said, in onshore 0.79 compared also to previous quarters. When we then go to the Service business, as said a stellar performance in the quarter. So we progress well with the integration of both the offshore and onshore and we now start having that operating model in place. Still more to come for 2021 is that year where we get that done. That gives us deleveraging in the global supply chain and also the scale, not only to our customers, but also back to our partners in the supply chain. We also continued to focus on long-term service contracts on the EnVentus platform. You've seen us taking several wins both across Europe and also in Australia. We also had a full scope multi-brand contract with a 15-year duration signed in the US. So again, an evidence of that we still work both on own capture, but also on the multi-brand arena. When we look at the service backlog, it is now €26.9 billion. And of course, it's up €8 billion compared to Q2 in 2020, but also be aware that out of the €26.9 billion, €23.2 billion stems from the onshore part. We have 119 gigawatt under service and we have an average years of contract duration in excess of 10 years. Below you can see the split of the regions. And for us again here the positive is that we are seeing increase in the regional coverage in all three regions both in Americas, EMEA and APAC. With that go to also the highlight from our sustainability strategy and what we are embarking in as a journey. And mentioned in the highlights, we entered the new CTEC project, it's launched. It's an important step. It's one now of several projects we have for actually looking into the technology that will cause the zero-waste turbine to be a reality in 2040 or before. We saw an increase in carbon emission, not to be sort of talked anything else than it is a reflection of that we are now integrating the offshore activities. And therefore, that we have to work with from a new level. You will see the level on the right side of the slide. We also fully support the European-wide landfill band on decommissioned wind turbine lanes by 2025 initiated by wind Europe. And again, here said it is also well connected to the project launched around the zero-waste turbine. Lastly, I think very importantly in the environment we are in and a continued focus on ensuring the workplace safety not least when it comes to our factories our sites and also our service technicians. Really proud to see that, we in a quarter where – or the first half of the year where we have had that many external factors and challenges we've been able to even reduce the safety measures from first half 2020. We can also see here on the right side that displaced CO2 in million tonnes have gone up to 201 million, it's up 14% on an annualized basis in Q2. And that is a quite a large number. In a comparison, we work with a country like for instance Denmark that has a total emission less than 40 million tonnes a year. So it is quite an impressive number to deal with in displacement of CO2. With that, I will hand over to Marika, and walk through further details of the financials.
Marika Fredriksson: Thank you, Henrik. So as you know, the income statement is a good reflection of what Henrik has been through here. So we see stable activity levels compared to Q2 of last year, if not very stable. The stable revenue is primarily driven by the increased activity in service as well as offshore. So, obviously some slippage here in the quarter from the onshore activities. Gross margin up by 4.2 percentage points year-over-year. That is driven both by Power Solutions as well as service. EBIT margin before special items had an increase by 1.9 percentage points. That is primarily driven by the improved and higher gross profit, which to a certain extent is offset by the higher SG&A cost as a result of the offshore integration, and I will get back to that. Income from JVs and associates is a positive of €33 million. It's primarily co-development projects in the US as well as the contribution from CIP. Power Solutions. We have an increase in profitability, but we are still not where we want to be. Revenue decreased by 4% year-over-year, mainly driven by a decrease in the onshore activity level. Offshore revenue is driven by strong installation levels, primarily in the UK and EBIT margin before special items improved by 1.7 percentage points year-over-year and that is primarily driven by lower warranty provisions and improved, which is very important underlying project profitability despite the external cost inflation. So having a look at the service business, we see continued strong performance. You see a revenue increase here quarter-over-quarter, year-over-year increased by 23%. That is primarily driven by higher onshore activity levels as well as the integration of the offshore business. So you see the Q2 EBIT before special items amounting to €178 million, and that corresponds to a 28.6% margin here in the quarter, so very good performance. SG&A cost continues to be under control and also continues to be very focused from our side. Depreciation and amortization excluding the impairments increased by €66 million year-over-year and that is to a very large extent related to offshore. So nothing unplanned for obviously. Relative to activity levels SG&A costs amounted to 6.3%, which is an increase year-over-year of 0.6 percentage points and that is obviously driven by lower absorption here in the quarter. Net working capital improved in the quarter, and it is primarily positively impacted by down the milestone payments as well as payables. We have an increase in inventory and that is primarily to cater for the anticipated high activity level here in the second quarter. So again as planned for. Cash flow statement very positive cash flow from the operating activities. And I would say, if I compare with last year is obviously the change in net working capital that makes a big difference here in the quarter. And we see a positive cash flow of €183 million. Net interest-bearing position is €334 million, and we obviously have a continuous focus on cash and cash discipline. Total investments year-over-year very stable. So you see €177 million here in Q2, which is €20 million higher than last year, and the methodology is the same. So we continue to invest in malls as well as capitalized R&D, and in cases where needed also localization. Provision and lost production factor. You see here as we also anticipated, you see an increase in the consumption in Q2 of this year. And the LPS also have an increase and that is a consequence of the extraordinary repair that we have indicated for the two cases that we have discussed. Warranty provision for this year is stable at around 3%, 3.1% to be very precise. And again, consumption is obviously driven by the two cases that we have indicated and that we provided for last year. Capital structure. Net debt-to-EBITDA is still well below our threshold. So we are at the level of negative €0.2 million. And also to highlight that following the Board of Directors' proposal at the AGM, we have done here in the quarter a dividend of €230 million. By that, I leave the word to you Henrik.
Henrik Andersen: Thank you so much Marika. And now to the last one, and that's of course the outlook. So coming from the status of the business and not least the financials, we have decided to revise our guidance with the effects of what we see from the raw materials and components and to some extent also the transport. So revenue right now will be guidance for the full year of 15.5% to 16.5% where we previously had an outlook of 16% to 17%. Service is still expected to grow approximately 15%. On the EBIT margin, we say now 5% to 7% where the previous outlook was 6% to 8%. And we like you to think of that is the moving of the mid range from 7% to 6%, and is also what we reflect here which is equal to a 1% adjustment. Service margin is expected to be approximately 24% and total investment now below €1 billion from previous outlook of approximately €1 billion. And then I think here again with the same as we discussed in -- after Q1 the warranty provision in 2021 is expected to be around the 3% level as you've seen in the revenue from -- include both the on and offshore. The special items, which we haven't had any thing off in H1 is still expected to be around €100 million for the full year relating to the integration of the offshore activities, and therefore also putting especially the platform and the manufacturing together in the second half of the year and those announcements to be to come. When we also look at this, it is without saying that we see still a number of countries being affected by COVID-19. So, therefore the guidance will come in this year with the normal sort of that the base assumptions behind the guidance will -- and will probably for the rest of this year remained more uncertain than under normal circumstances. With that, thank you for listening in and I will therefore open up to the operator for the Q&A. Thank you so much.
Operator: [Operator Instructions] Our first question comes from the line of Kristian Johansen from Danske Bank. Please go ahead. Your line is now open.
Kristian Johansen: Yes, thank you. So, two questions for me. First, in regards to your comment that underlying project profitability is improved slightly puzzled about this obviously, considering the cost inflation you're seeing. So, maybe if you can clarify a bit how do you define profitability? So, is that including all raw material and transportation cost or exactly what do you mean in this definition? 
Marika Fredriksson: Yes, I understand Kristian. So, when I say improved project profitability is obviously -- I mean clearly we don't see the full impact simply because of the cost inflation that you are alluding to, but it obviously includes all the variances that we have. But if I look at the underlying profitability on the project as such before any changes or any rerouting as we have discussed numerous of times. I see that the productivity in what we're doing is improving. And especially, when I refer to the contribution margin of the project is really the pre-imposed calc in terms of having as little deviations as possible. Then obviously, as we did last year, we had a warranty provision and didn't do anything similar this year apart from sort of more of the normal. But excluding that, I still see that a lot of the initiatives that we have are having an impact and also obviously the stable pricing is one of the factors that I'm including.
Kristian Johansen: Okay, that makes sense. Then same question is on cost inflation. And just to what extent we have seen sort of the full impact yet. And secondly, what you are doing to mitigate this looking ahead for the second half should we expect you better hedged, or are we still going to see the full effect to come? And how should we view this into 2022 in terms of the new actions you have taken under this?
Henrik Andersen: Hey Kristian thanks for that. And I think for 2021 when we released the guidance today, we haven't changed the methodology we constantly work with. So, that means we look into the backlog and we look what we are executing and plan for executing in the second half of the year. And there we basically assume that what we are experiencing now. And you would appreciate we are now in beginning of August, so a lot of those things are either on the way or already towards sites. So, therefore, we have a fairly good visibility in that part. But of course, having said that, I think right now one thing is the cost inflation. The other thing which Marika mentioned here a little bit like rerouting we also work in a market right now where it is extraordinary circumstances. So, where you just see that it can be either put on wait on hold outside a harbor or you can actually have the unfortunate situation where somebody leaves without taking your X work's finished goods with on the ship because they have prioritized somebody else's. So, I think right now that is where we talk about its mitigation down to the single asset and down to the single shipment. So, that matter we are very, very stringent and very, very strict in following. 
Kristian Johansen: I understand. Can you provide any flavor on sort of the magnitude of impact on the supply chain versus the cost inflation?
Marika Fredriksson: I will say that the biggest part and I will probably answer the same way as we have done Kristian is that the biggest cost increase that we see right now and that is to a large extent due to both rerouting so you have cost increases, but you also have scarcity. So, it is the changes that is the most costly part. We also see an impact from raw material but the biggest part is really the transportation. Then you would have also because as Henrik said on the lockdowns that we now see in Asia, you have a complete lockdown so you cannot install the projects. Therefore, you get a slippage we get additional cost because we have to have cranes what have you longer period at the sites getting people in it's very difficult. So, it is the sort of unprecedented situation due to the pandemic as well as the cost inflation. So, a little bit unfortunately of a double whammy from that perspective.
Kristian Johansen: Understood. Thank you very much.
Operator: Our next question comes from the line of Arsalan Obaidullah from Deutsche Bank. Please go ahead. Your line is now open.
Arsalan Obaidullah: Good morning and thank you for taking my question. Just one. I just wanted to understand whether in terms of -- in the near term, you're seeing sort of any negative demand for onshore turbines just coming from the rise in raw material costs and the quarterly turbine prices as well? And also from the regulatory uncertainty in the US, are you sort of seeing anything here in the near term on the demand side?
Henrik Andersen: Arsalan, thank you. I think there's a couple of questions in your question here. So I think on the onshore, first of all, I think it's clear that what we also alluded to here in Q1 and we discussed that in some details after Q1 with an order intake of two gigawatt in Q1. It was also a signal of that there were quite a number of adjustments and discussions because whenever you have a price or a cost adjustment to the magnitude of what we are experiencing now customers will go back. Some extent, they will go back and revisit their internal processes, either for internal approval of investment committees or external financing. And of course, that takes time. That pushed a lot of the discussions from Q1 to Q2. Some of these discussions are now reflected in order intake. And there we are adamant with the same process. We have the robust process of order intake. And there, one of the priorities is they don't drop below the threshold. And I think the threshold here is the same which we always work with and we are just disciplined around that. So that has affected it, but I will just say the numbers here in Q2 also confirmed that we shouldn't underestimate that the price of energy has also gone up. When we sat here a year ago, we struggled to find at least in Europe PPAs, there were electricity prices around €20 per megawatt. Now that is up 240% compared to a year ago. So I also think on the electricity side that has suddenly become more valuable in most of the markets. So from a customer point of view, I think it's about connecting also the full value chain of this. And unfortunately, it seems like coal has gone up with 100%, which means there is an increasing demand for coal as well. So, the onshore, we don't see a change in the underlying. We actually see it the opposite as mentioned, for instance, the example in Germany. When it comes to the US, a particular situation is still, there is a -- in some ways, there is a clearance on the PTC. You can also see we have taken some orders but not to the extent we would like to. We are in progressed discussions in the US. And therefore I think we will hopefully see more clearance on what to come from that you all appreciate PTC is an ongoing discussion point in the US, and also compared to the local manufacturing and employees in the UK. So that to -- in the US. So that we have to wait probably a bit longer into H2 to await the administration and their decision on PTC.
Arsalan Obaidullah: Thank you very much.
Operator: Thank you. Our next question comes from the line of Dan Togo from Carnegie. Please go ahead. Your line is now open.
Dan Togo: Yes. Thank you. Maybe a bit more flavor on the -- so to say incremental margin that we could be looking out for here, because when I calculate through and try to do some reverse engineering, you're guiding for €1.5 billion more in revenue in second half 2021 compared to second half 2020. What sort of incremental margin should we push -- put into that. So that would be the first question. Second question would be on deliveries. You delivered in second half of last year, some 10, close to 11 gigawatts. Is that feasible here in second half 2021 given the circumstances and the environment we're in right now?
Marika Fredriksson: Yes. Obviously, I think you say it yourself Dan. It's a lot of uncertainty with COVID and the restrictions. Obviously, I think we have shown for a few years now that the extreme push in second half, which is sort of a normal profile but the extreme has probably been higher both last year -- well, last year and expected this year. So expectation is obviously that we can. And as I said, there is a slippage here from Q1. So, Q1 and Q2, so first half. But we still expect and intend to be able to manage that situation. On the margin side, I mean, we continuously work with further improvements. As I said, on the productivity side, we also have a very handsome average sales price also in the backlog. So if we can avoid changes, too much changes and too much rerouting, too much extra costs, then obviously, we are in a better position and that is also reflected in the 5% to 7% EBIT guidance.
Dan Togo: So just to understand, so what are the risks here? And which markets -- is it 1-gigawatt we are talking about here plus/minus? And which markets are we -- should be looking out for, where did this -- an additional service could appear is in Brazil, Vietnam, et cetera, where -- I mean, in these emerging regions.
Marika Fredriksson: Yes. I would say that, Latin America has -- is definite challenge. But I would say, the bigger challenges are in Asia, right now. So I think you mentioned one of the markets, that is a good market for us, that is Vietnam. And there we have a complete lockdown. So we, obviously, are installing, at the best of our capacity right now, but there are severe limitations and that, obviously, have an impact. But we are doing what we can and also trying to mitigate the cost increases that we see due to this. But, I mean, so far there's no indication that we cannot do what we intend to do. But, again, as I said, the EBIT is reflecting a positive and a negative and something in between. And that is, obviously, why we're putting up 5% to 7%, so a pretty big range still here, in August.
Dan Togo: Thank you so much. Thanks a lot.
Marika Fredriksson: Thank you.
Operator: Our next question comes from the line of Supriya Subramanian from UBS. Please go ahead. Your line is now open.
Supriya Subramanian: Hi. Good morning and thank you for taking my questions. I have two questions. One is, into 2022. I know it's still early days, but just wanted to get your thoughts on what proportion of the backlog, let's say, potentially at risk, in terms of unhedged positions, if there are any? And what are the mitigating measures that you're taking to offset that? And also on pricing, one of your peers, of course, has stated that they have started pushing through pass-through clauses in the onshore business as well, since Feb, March of this year. Is that something that Vestas is also exploring or looking at absolute price increases?
Henrik Andersen: Supriya, thank you so much for your question. First of all, to the 2022 and the backlog as such, we haven't changed our way of working. And I think that probably served us well through some of these times, where there are many variables. And that's the reflection of what you also see and what we adjust in 2021. We generally, therefore, work with the backlog. And there, of course, what we now see is that they are also in both the backlog and also for this year, they are, in effect, from price inflation, when it comes to some either of the raw materials or the components. And can I also hear, with now I praised and giving a lot of praise to a lot of people understanding how to mitigate in this situation. But we also have to deal with some of the, what I call, cases of probably bad behavior, where people forget the long partnership and probably forget the long contract or try to get out of it, because they could earn more to deliver it to somebody else, that we are dealing with at the same time. So when we look into the backlog, we are, as we will normally be, hedged when it goes firm and then, we work with some of the residuals. There are some markets where you have a less possibility of being fully hedged and therefore there are always a residual which we work with. And then as Marika rightly said, when you have a backlog, where you have a transport, some of those transport measures will either have to be rescheduled and rescheduling from a timing perspective now is just prohibitive expensive right now. And that we have to deal with. And I wouldn't say, it become better at, because it is an extraordinary market, so that we are doing. So when it comes to the 2022 we work diligently through, what we are doing right now. And as you've seen today, I think we can be counted on that we keep working on the project level and at the same time with the global supply chain as such.  When it comes to pricing, I don't want to go into contract clauses and that sort of name of the game. We work and we have been here for now decades of business. So I don't think, we will start saying, that we have invented something new. They are for some customers when you're regulated. Then absolutely when you come into some of these things, you need to have a price and it needs to be firm so you can get the approval. And at that point in time, we have certain ways of helping each other by hedging the price risk. From other customers then it's clear, that until it goes firm then there is a variable in here, which of course as we spoke about cause some delays in the order intake also in Q1. So I think we are well here. And with the extent what we are seeing, I mean prices of renewable wind solution goes up right now. There's no other way of saying it. And I think our customers appreciate that and they also see by the way that their offtake in pricing goes up as well. So I think, it matches well together and there I say there is probably a customer to that has also smiled and said even the electricity has gone more up than the turbine. So it's probably a market that will find its natural in due time.
Supriya Subramanian : Thank you . Sure. Just one more question around profitability across geographies. Given that potentially the weight of US and the total sales share is likely to come off in the next couple of years, could you shed some light as is profitability broadly even across regions, or is US higher profitability so would there be an adverse mix effect going into 2022 and maybe 2023 as well? 
Henrik Andersen: We see a robust process here. We don't favor or disfavor any locations in our markets. So we have the same thresholds. We work with the same thresholds in that sense. So therefore, we more see that the volume that comes out of our global supply chain, will also be allocated to the customers that basically stays within our limit of threshold of taking the orders. So we don't display with that. And therefore, as we always discuss ASP will variate but that's due to either scope or complexity or to some extent the geography where it's delivered in. 
Supriya Subramanian : All right. Great. Thank you very much
Operator: Our next question comes from the line of Akash Gupta from JPMorgan. Please go ahead. Your line is now open.
Akash Gupta: Hi. Good morning, Henrik and Marika and thanks for your time. My first one is on the US and I think you've been saying that we might get some clarity on an extension of PTC by end of this year. We saw your US competitor was saying that this extension will likely result in near-term uncertainty and pushes out some investment because of the longer duration of subsidies. Any thoughts from your side in terms of, how if we get 10-year extension it might impact your orders? And could there be any risk of some delays because the customers don't need to act quickly and they may want to maximize their returns by and waiting for some of these inflationary pressure to come down? And the second one, I have is on -- is on extent of price increases. And we heard from one of your competitors that this raw material headwind needs to be absorbed by the entire supply chain as well as customers. And it's unlikely, that we would be able to pass it on to customers completely. Do you have any thoughts on that? Thank you.
Henrik Andersen: Akash, thank you for your question. First of all on the PTC, I think you're asking me to comment on the unknown. And I will try to avoid that. I think we are in a current regime when there is as we have seen in the extension there was earlier we have in the last 24 months seen the PTC either have extensions positive commitments. And in this case it might be that there comes slightly new flavor to it either in the number of years it covers, percentages or localization. So I think anything there, will just be adding to the speculation. I think customers being said, everyone actually prioritized whether that is onshore or offshore in the US an acceleration of how we can get more projects. So therefore, I would rather say when there is clearance of the frame and therefore the legislative frame around the PTC and therefore the projects then I think positively we will also see quite a strong flow that might be that it then has a 12 months' lead time to the delivery. But let's see when that comes Akash rather than speculating to it. But right now as we commented on Q1, customer generally will be on a wait and hold until they can calculate the complete effect on the projects and the business. When it comes to price increases if you ask for a percentage of fairness in the world about the cost coming up in raw materials and components and transport that doesn't exist. What is important for us to say is we have the firm discussion based on the order intake. And when it comes to us and we do that costing update regularly currently because it is that variable. The price and the percentage change of some of these things require us to do it regularly and frequent. So, therefore, that will come into the customer conversations. But having seen that somebody thinks that it's to be forgotten. And there is no price increases to the turbine that's probably not something we will encourage and I don't think that serves the industry at all actually because we want to be a professional partner and a professional partner also know how the pricing of the product and solution works.
Akash Gupta: Thank you.
Operator: Our next question comes from the line of Casper Blom from ABG Sundal Collier. Please go ahead. Your line is now open.
Casper Blom: Yes. Thanks a lot. First of all questions we haven't really talked about yet. Marika as you mentioned, you had a bit of tailwind from co-development projects in the US affecting the income statement this quarter. Could you give any guidance on whether that is a sort of sustainable level to assume for coming quarters also, or is that too lumpier business to put anything in there? That's the first one. Thank you.
Marika Fredriksson: Yeah. And I think Casper that you're somewhat answering the question yourself. It is lumpy. But, obviously, I mean this is more and more becoming a part of the overall business. This is I mean when you're starting to divest it's more late stage. And if I look at the portfolio you have a good mix of it. So it is very lumpy and very hard to be precise. But, obviously, as we're having co-development as part of the business, we're expecting this to be on a more frequent basis than to be -- to give you an exact number what that frequent basis is I cannot do that at this point.
Casper Blom: Is it fair to assume that it's a number that will grow year-after-year as you do more and more of this?
Marika Fredriksson: Yeah. I mean obviously that is the expectation and that's why we have focused on the business. But it is lumpy and it takes time. That's just my experience.
Casper Blom: Okay. Then my second question regarding the EBIT margin in the power solution's business. I know you don't give a breakdown between onshore and offshore. But I do note that you had much more revenue from offshore in this quarter. Can you give any indication on whether you are approaching a breakeven level on the EBIT margin and offshore with this kind of revenue that you saw in the quarter?
Henrik Andersen: As I said you, when you do that Casper you can't. And we gave the guidance of the -- basically the journey we are on because we got the inside and that with the backlog we took over. And, therefore, this year and the following years until we are into basically end of 2024 it will be a margin dilutive effect of the offshore business. So in a quarter where we have some turnover, of course, that helps sort of dilute the fixed capacity cost as Marika also argued but we are integrating the business. We have also done the integration. So synergies will come over 2021, but that's just how it is. We don't expect on a full year basis to change any of the guidance we did in Q4 2020 when we acquired the business. There's no indications of anything else.
Casper Blom: And you don't want to say whether this revenue you've seen in the quarter is enough to come at a fixed cost in offshore?
Henrik Andersen: No. I don't think, I will comment on that one because then we start commenting on part of what is being delivered under certain projects and that one is not in anyone's interest in a market where there are a few projects and very few competitors.
Casper Blom: Fair enough. Thanks a lot, Henrik.
Operator: Our next question comes from the line of Martin Wilkie from Citi. Please go ahead. Your line is now open.
Martin Wilkie: Yes, thank you, good morning. It's Martin from Citi. Two questions. The first one just coming back on pricing. And from the outside, when we look at raw materials and so forth a layman sort of assessment might be that pricing has to go up by maybe 10% or so. I understand that's obviously too simplistic, because there's many, many things that come through the supply chain all these raw materials are not necessarily bought by Vestas. When you look at your comments that pricing is stable and on a reported basis the ASPs are up 1% year-on-year. What -- are we sort of externally doing wrong in that calculation to see that pricing that is stable, is still supportive for margins, when -- it does look like raw mats would suggest that pricing has to be far higher. So that was the first question. And the second one just on service, because obviously, very good level profitability in the second quarter. It does imply a deceleration of service margins in the second half and just to understand if there's any specifics around why that might be prudent in the guidance. Just to understand a little bit about the implied service profitability in the second half? Thank you.
Henrik Andersen: So on the pricing side thanks Martin for the question. As I said, when you see pricing, you can't just put the sort of equal between an ASP and pricing. So I said in Q1, we have seen it a number of times now. We've also seen projects by projects been escalated. So when we say stable pricing, it means stable pricing also considering the value creation of the individual projects for Vestas. So therefore, we are satisfied with the development in the ASP. And as I said, we've booked an overall 0.84 and 0.79 in the quarter. And that actually fulfills and respects some of those conversations. So you shouldn't forget, there are more than 20 countries, where we have done order intake in a quarter like this. So you can't scope and other things you can't really say that that's been unchanged or whatever. We say it's stable. It fulfills, what we also set up it should do and that's what we're working diligently towards, so be careful of it. It's here. We can see it. And some of the projects we know that there is a percentage increase. And I will comment on your 10% calculation or is it 5% or it's more than 10% because, there are areas where it is quite a lot that changes in the current profile.
Marika Fredriksson: And if we go to the service margin and I obviously understand your point here, Martin. But the only thing, I will repeat myself, you will see also here lumpiness, so the 24% that we have indicated is something we feel comfortable, providing to the market. But you will see a little bit ups and downs, depending on which quarter you are in. But obviously, it is overall on a 12 months rolling, very stable business, good performance and that is what we are indicating at this point in time.
Martin Wilkie: Okay. Thank you, very much.
Operator: Our next question comes from the line of Deepa Venkateswaran from Bernstein. Please go ahead. Your line is now open.
Deepa Venkateswaran: Thank you, so much. I had one follow-up question and one new question. So, on the commodity inflation, Henrik you mentioned that there's some residual exposure. Would you mind elaborating a bit more on what commodities you're talking about here? And is it also fair to assume that the guidance changed today, the 100 bps on margin and €500 million? Can we say that that's mainly because of the logistics cost and constraints on the physical side as opposed to any of these raw mat inflation? And my second question is for Marika on the SG&A. I know overall the ratios have increased because of offshore, but if I compare with last quarter, seems like SG&A has trickled up a bit more to €275 million versus €260 million. Should we read anything more into it? And how do you see the evolution for the rest of the year or next year?
Marika Fredriksson: Okay. So if we – if I answer a little bit on Henrik's behalf here on the commodity side, it's a rigorous process. So if there's any residual that we – I mean it depends on whether it's indirect or direct, obviously having an impact. And that is what Henrik is alluding to. And I would say I think it's fair to say that the biggest exposure from a commodity point of view is this deal when it comes to our business. And obviously, there you have a very direct impact from the tower and indirect on other components. And that is what obviously changed the picture. And I would also say that at the speed of increasing right now, you will see a timing gap from offering to when you firm up any order. And we haven't seen anything like this overall. And when it comes to cost inflation, the biggest part this year to be very clear is transport and the second one is raw material. So there's two. And they – both of them are just further amplified by the COVID situation, we're in because that's causing a limitation on the flexibility you have as a global company. And then on the SG&A side, I mean now we see – we have situations normalizing a little bit in parts of the world going back and forth again. But you also have – remember that you have depreciations increasing and that is together with offshore depreciation is the other part that is going up due to previous investments.
Deepa Venkateswaran: Okay. Thank you
Operator: Our next question comes from the line of Ajay Patel from Goldman Sachs. Please go ahead. Your line is now open.
Ajay Patel: Good morning. Thank you for the presentation and allowing me to ask question. I just wanted to maybe add the first one, just to make sure if I can get a clarification. Is the vast bulk of the downgrade on the margin the logistics and the potential cost increases you made from project delays, or I'm just trying to understand if the raw material bit is one-third to 25%, 50-50. Just any sort of rough guide would be really helpful just to make sure I understand everything. And then I guess, just if you could, give us some form of guidance on at least what you can see which is the order intake you've had year-to-date. Is that order intake consistent with margins of 6% to 8%, which was your previous outlook before these additional costs came through, or is it too early to tell because of the residual exposure on the commodity side. I'm just trying to get a sense of what sort of risk do we see for the next year and raw mats effectively?
Marika Fredriksson: Okay. So if we start with the cost inflation, transportation is the absolute major part but the second one is also the raw material. And I would say, it's to certain extent it's direct but also indirect. But the logistics is a big impact. And then you have other costs relating to slippage, due to in particular what we see this year is lockdown but it could also be weather conditions. But what we see right now is more from COVID situation and limitations in different countries.
Henrik Andersen: In terms of your – I think very charming question around how the pricing relates to a previous guidance for 2021 I think it's clear also what Marika said, the initiatives and the tools we are having internally is diligently working towards the goal of an EBIT margin of 10%. So therefore, when we work with price and adjustment here, we also diligently worked towards what we also said as a longer term. So you can't read anything out either related to a previous six to eight or a current five to seven, we constantly try to do better Ajay.
Ajay Patel: Thank you very much, Marika.
Marika Fredriksson: Thank you.
Operator: Our next question comes from the line of Rajesh Singla of Societe Generale. Please go ahead. Your line is now open.
Rajesh Singla: Yes. Hi. Good morning. Thanks for taking my question. This is regarding the LCOE of your 5.X megawatt turbine. Is it possible to comment on like how that LCOE number has changed over the last one year and where it stands currently? And second question on the pricing front. So last time when we had a discussion you mentioned that we hedge everything whenever we receive a firm order. And I just want to make sure that we are on the same track for the future as well. And the order book currently we have reflects that factor.
Henrik Andersen: Well, yes, thank you so much. I think here I do appreciate that we have quite a large audience. And as you are not necessarily a customer buying the turbine of a specific nature then I will avoid commenting on the development in LCOE because that is simply too much information to a broad audience. We generally work diligently with all our platforms to increase either by a power mode or upgrades or new models to reduce the levelized cost of energy and you would appreciate that. And that is also one of the reasons why of course we embarked on the journey in offshore and also become a leading player there. When it again comes down to fully-hedged, yes, that's right. And generally when it goes firm we of course hedge as we can to the tune of it comes into the global supply chain. But then when we come and get into the global supply chain you will have certain raw materials and components that are to a some extent not hedgeable from just buying a future price security of that. Of course, there we work with the partners the supply chain that works really well. And probably in this case guys except also it demonstrates the strength of the supply chain in what we are working with considering the environment we are in. So I think here it's also finding that it is a 100 basis point midpoint adjustment which actually gives quite a lot of credit to how the supply chain works both with the hedging, but also mitigating exactly those bottlenecks that we have in major harbors of the whole world. So I think here a little bit of credit back to that internal team and internal teams that are working so diligently with that and the partners that support us externally. 
Rajesh Singla: Thank you. Maybe just one follow-up on the hedging part. So for how long we can hedge all these raw material costs? I think the last time we heard that you can hedge quite longer into the future. So maybe a bit more clarification on like how long you can hedge these raw material costs?
Henrik Andersen: But the hedge timing is not necessarily the important here. It's the -- how that connects to the project or the intake. So we generally can hedge in the same time frame as we have the order intake or you have other clauses that will then have the discussion. So that hedge you can't, sort of, say that that runs out on a project. 
Marika Fredriksson: And the phrase is slightly different is that we have different methodologies. So I mean you can hedge as such but to pre-buy, you can store so and you can index. And we're obviously using the means that we have. I would say also the longer period you have if you would do a more financial hedge is very costly. So then that is something you try to avoid. But we have different means and we have over time used all of them where we see it's most appropriate. 
Rajesh Singla: Thank you. Thank you very much.
Operator: Our next question comes from the line of Claus Almer of Nordea. Please go ahead. Your line is now open.
Claus Almer: Thank you. Thank you so much for taking my questions. I will take them one by one. The first question goes to the in and out orders which in 2021 is at a very low level. Why is that? And is this one of the reasons for the lower revenue guidance? That would be the first one. 
Marika Fredriksson: Yes. The -- no. I mean, yes, you're obviously right that we have a lower infra-out this year. But the change in revenue guidance is primarily how the slippage will pan-out. And obviously slippage means that we haven't lost anything, but it's a timing question. So it's not relating to infra-out orders at all. It is a pretty firm comment from my side. But slippage definitely because we have such an activity level in the second half. So things will have to be if not flawless at least pretty good. And that's also why we're providing a slightly big range on the EBIT side. 
Claus Almer: Should we expect some in and out orders being announced in Q3 for instance, or has the year gone and is too late?
Henrik Andersen: I think you will – we shouldn't exclude, but as you are rightly saying, you are in August. So you are with the supply chain of hours, you will have a less and less impact of that. So there is no – as Marika said, it was a backlog for this year that was different and to a much lesser extent, depending on infra-out orders. And you have seen very little for instance, which normally is one of the market in China, which is also just an acknowledgment of how the Chinese market is currently.
Claus Almer: But even excluding China, it is a low level. And is this by choice of business, or is this the nature of – yeah, the wind market, or why is it so low?
Henrik Andersen: As I said here, I think it's probably good that, it's maybe reflecting some of the things both from China and US, they come out of a year where there are certain things that changed in their way of dealing with it that might be that it was more predominantly in a year, where you want to take advantage of a tariff or a different regime coming to an end. And therefore, you push for some of these infra-out orders with a very short notice. I will also say from a manufacturing point of view, it's much better and much easier to mitigate some of it, because if you came and asked for an infra-out order right now, come on, we all have to appreciate we know exactly what the cost of that will be and that's going to be quite a lot higher.
Claus Almer: Okay. Makes sense. The second question goes to the lost production factor and that continues to increase and is now at a 3% high level. When should we expect it to have peaked? And does this high level actually have a negative P&L impact excluding the provisions obviously?
Marika Fredriksson: If I answer the latter part of your question, first, the lost production factor increase doesn't have a P&L impact. It's obviously the warranty provision that has the P&L impact. The consumption is increasing. And obviously, even if it's not good to make the provision, but it's as anticipated and it means that things are going according to plan. So we have said, if I remember correctly, and also expected that to increase here in the quarter. The lost production factor is a consequence of that, we are now addressing the issues – the two issues that we had. And I would say, expect a higher level this year. And then obviously going forward, we haven't been that precise, but we should see an improvement although not down to the one and half in the early time frame. But we should definitely start seeing the improvements in the latter part of next year.
Claus Almer: Okay. Thank you so much.
Operator: Our next question comes from the line of Sean McLoughlin from HSBC. Please go ahead. Your line is now open.
Sean McLoughlin: Thank you. Good morning. Two questions. Firstly on cash generation, which looked pretty strong seasonally strong in Q2. So just wondering, how you're thinking about potential for a buyback in 2021? And secondly on offshore, we note the first signal of interest for the 15-megawatt turbine, when would you expect to be booking the first firm orders for this machine? Thank you.
Henrik Andersen: I think on the cash flow side, Sean as Marika said, we have a tremendous focus on cash, because it links well with the profitability and therefore the value creation. When it comes to timing of it, it's fair saying, we're in a year where there are variables coming from the – especially on the external environment we are working in. So there we will always be more prudent more sort of wait and see. So we haven't decided anything after Q2, and we will evaluate that on an ongoing basis. So if cash continues then we will look, when we are later in year, how we will deal with that, but exclude or include nothing in that sense. When it comes to the offshore, you will appreciate the offshore market works with slightly longer lead times. And therefore, the FOI is sort of the order intake is not necessarily the holy grail for us. We worked diligently in a number of cases around the world. As you probably picked up there are good – there is enormous good momentum into the offshore approval process on governments in major markets of the world, and we are quite keen exactly in participating in those discussions. That comes both from the customers, but also comes from the local manufacturing and supply chain into those countries, and there we are I think a fair partner for many countries right now. So, have a bit more patience when it comes to firm order intake, because it is a different cycle compared to the onshore.
Sean McLoughlin: Thank you.
Operator: Our next question comes from the line of Sebastian Growe from Commerzbank. Please go ahead. Your line is now open.
Sebastian Growe: Yes. Good morning. And thanks for taking my question. Hi, Marika, Henrik. The first one is also around offshore and the preferred supplier agreement with EnBW. I've read from their press release that the FID is only due in 2023. Then my question would nevertheless be how we should think about terms and conditions, about the margin thresholds look in capital terms, et cetera, because this is obviously so far the first project based on the V236. And sorry for bringing really down to a specific project in this case, but it is of utmost importance and hence the question. And the second question that would be more on services, but let's eventually better start with the offshore first.
Henrik Andersen: I think I will again hear Sebastian, first of all, again, a charming question, I will just say here, with respect of the audience and the wide respect of the audience in a single project like that we won't give any details of that. That will be wholly unfair against the customer discussion. We appreciate so much on the partnership. And I will also say here, I know this one is to open and all. We work diligently with that. We also said that when we come beyond 2025, we have the same profit targets for the two businesses. And therefore, you can assume that we work diligently on the same value creation metrics as we would do for the -- what you know was well for -- in the onshore. So that's how we work and that's how we work well with the partners also in offshore. And I think that will be my very, very further details to also a fair and open press release from our customers and partner in EnBW.
Sebastian Growe: Yes. That's fair. Okay. And the second one is on service and a quick follow-up on the mix question for the second quarter. Can you just shed some more light if offshore has eventually contributed much more meaningfully and a more sequential comparison. So that will be the first quick question. And the other one I had is more on the structural nature of the business, because you mentioned in the quarterly report that you are obviously seeing some greater synergy potential between onshore and offshore. So my question would rather be if you could be a bit more specific, which areas or eventual financial impact you might be seeing here?
Henrik Andersen: Do you take the service part?
Marika Fredriksson: Yes. So on the service, the increase obviously, I think as I said, both from onshore as well as offshore, so it's clearly contributing to the increase quarter-over-quarter. But we are also again saying that we have an increase in the onshore space as well. When it comes to the lumpiness of the quarters and the profitability is that -- we see that. It depends on how long the components are lasting. So that depends on which given quarter you actually have the cost for it and that will have an impact on the profitability. We have also been very successful on the cost out that will also have an impact. And if it's in this environment we're in right now with COVID if we didn't have too much hinder when it comes to the flexibility in terms of sending people into different sites that will also have less of a cost. All of those are impacting to a great extent to the positives that we see here in the quarter.
Henrik Andersen: And overall on the service side, we are rightly building a global operating model where we actually aligned both the on and offshore colleagues in our regional setup, but we can talk more about that in the one-to-one. With that, I would just like to maybe also to the operator pass to the last question, if we can do that. So last question operator, please. 
Operator: Thank you. Our final question comes from the line of Mark Freshney of Credit Suisse. Please go ahead. Your line is now open.
Mark Freshney: Thank you for letting me to ask my questions. So firstly, on EBIT margin, I mean over the last five years, EBIT share your economic profit EBIT share of the benefit that these turbines bring to customers have been eroded. Now, the raw materials cost is going up, or has gone up, is there scope for, you to actually add a percentage margin onto that, i.e. surely the discussion should not only be about passing through raw materials, but passing through a fair economic margin for yourself. And secondly, all of the discussion so far has been on logistics and raw materials. But what about, your own labor costs? Surely the higher input costs are going to manifest itself into wage rises, probably more in some regions than the others that are surely within your cost base there should be rises there. How -- are those something that you would have to absorb yourself? Because I would expect in the backlog those are extremely hard.
Henrik Andersen: Okay. Mark, thank you for the two questions, if I just take the EBIT question first, is this the time of recovering a percentage of margin? I said you know us well enough we work diligently towards our midterm EBIT margin target. And therefore, we will never shy away from that. So therefore, on a day where we revised our guidance 100 basis points down I don't want to sit here. And then saying, this is the day where we then start talking about, how we call -- we constantly every day work towards a 10% EBIT target. And we will continue to do so. But we are not going to sit here and saying we will not be impacted, when the world turns as it has done here, which also then relates back to your second question which is, what do we do in terms of first of all, the competitiveness of our solution because that's the cost inflation we get either from the raw materials, the components, or for that matter transport which is a material part not least our own employee cost. We work with a global supply chain that over the last years have also proven, it can be scaled. And don't forget, part of the capacity we have scaled to over the last three years is now serving a much higher capacity in terms of gigawatts annually, which also puts us in a position we in a quarter like this can take orders in more than 10 or 20 countries. That in itself will have to come and therefore, we also prove there that, the levelized cost of energy is competitive in the country. And therefore, we will have to also there look at what is then the output from a customer's point of view. As I just mentioned, probably the most important part is the price of electricity. And I think that will find itself in respect of the whole value chain from our customers as well. So it is implied here. We work with efficiencies in the supply chain from an efficiency cost reduction point we also work with an opportunity to scale up, so that we will constantly work with. And we won't shy away from that the recovery of EBIT from here, absolutely is one of our key priorities, besides delivering on our promised solutions.
Henrik Andersen: Okay. Mark I hope, we didn't upset you or you lost your connection there. So I hope to speak with you over the coming couple of days. So with that, could I just thank everyone for the attention and also for the interest? I'm sure we look forward to speak to many of you over the coming days. And again thank you from here.
Marika Fredriksson: Thank you.